Operator: Good afternoon ladies and gentlemen, and welcome to the Acxiom Fiscal 2016 Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mrs. Lauren Dillard, Director of Investor Relations. Please go ahead.
Lauren Dillard: Thank you, Abigail. Good afternoon and welcome. Thank you for joining us to discuss our fiscal 2016 second quarter results. With me today are Scott Howe, our CEO; and Warren Jenson, our CFO. Today’s press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. For a detailed description of these risks, please read the Risk Factors section of our public filings and the press release. Acxiom undertakes no obligation to release publicly any revisions to any of our forward-looking statements. A copy of our press release and financial schedule, including any reconciliation to non-GAAP financial measures is available at acxiom.com. Also, during the call today, we'll be referring to the slide deck posted on our website. At this time, I will turn the call over to Scott Howe.
Scott Howe: Thank you, Lauren. Good afternoon and thank you for joining us. I would like to spend my portion of the call today, updating you on each of our businesses our LiveRamp Connectivity business, our Audience Solutions data business and our Marketing Services portfolio. I’m pleased with the progress being made in each of our divisions, it feels as each group is focusing on clients, innovation and moving more quickly. Each group can also generate even better performance with continued improvement against their key business challenges. For each division I will share some highlights from the quarter and talk about where we are focused in the second half of the year. First our SaaS or connectivity business. Connectivity had another impressive quarter, highlighted by top line momentum, new customer additions and the launch of Customer Link, the newest product in LiveRamp's suite of open connectivity services. If you turn to Slide 3, I will update you on our key metrics. We signed 50 new connectivity deals in the quarter and added approximately 40 new customers, this was a record number of new client adds in a quarter. Since acquiring LiveRamp in Q2 of last year, we’ve added roughly 180 new customers to the Acxiom client roster. Extrapolating from recent years, we believe this new client bonanza represents more new logos than Acxiom had collectively brought in during the prior decade in marketing services. In total, we exited the quarter with over 250 direct customers using our connectivity solutions, a sequential increase of 19%. Also worth pointing out, if we included indirect customers who’s data we onboard through our reseller partnerships, this number would be multiple higher. We generated approximately $22 million in revenue during the quarter, up from Q1 and up over 65% year-over-year. We exited Q2 with the revenue run rate of roughly $90 million, up from $80 million at the end of Q1. As a reminder, this measure represents our quarter ending subscription ARR plus our trailing 12 month royalties on first party media spend. Please also note that historical periods have been adjusted for the third-party media spend royalties that moved into Audience Solutions. We also continue to build out our partner ecosystem and added over 30 new integration partners in Q2. We are now integrated with roughly 250 marketing platforms and data providers, representing the most expansive network of publishers and marketing technologies in the industry. And lastly, LiveRamp pipes powered $82 million of total gross media spend during the quarter up 22% sequentially and up 122% compared to prior year. On a trailing 12 month basis gross media spend was $268 million, up 20% over last quarter. Well, onboarding and GMS continued their strong growth, we also have been launching new products. For example, during the quarter, LiveRamp successfully launched Customer Link, a new data connectivity service designed to help marketers tie customer data together in a privacy safe way. If onboarding enables data to flow in one direction from the brands to marketing applications then Customer Link leveraging the exact same infrastructure in pipes allows for data to flow in both directions. Customer Link connects campaign and sales data across channels and devices to create a single view of customer activity. Think of Customer Link as the digital AbiliTec, a persistent identifier across both online and offline channels. By tying data sets together at the consumer level, Customer Link enables a people based approach to measurement that yields more accurate insights for better decision making. While there are several companies that claim to be able to do this, our unique approach and expansive partner network, sets us apart and the market is recognizing this as well. Several of the world’s largest brands including companies like American Express and Sony are already using this service to analyze cross-channel campaigns performed closed loop measurement and refine audience models. In addition, more than 25 leading DMPs, DSPs, attribution platform, data providers and measurement service companies have created newer expanded partnerships with LiveRamp to use Customer Link, including Adobe, comScore, MarketShare, MediaMath and Nielsen, to name a few. Similar to Data onboarding, Customer Link is sold on a subscription basis and we have roughly 15 customers using the service today. In summary, Connectivity continues to experience strong momentum, and I am excited by the recent progress. Looking ahead to the rest of the year, we remained focus on ensuring our solutions scales in line with adoption and continuing to deliver exceptional results to our customers and partners. Switching gears now to our Dash or Audience Solutions business. In recent calls, I talked about our belief that Audience Solutions through its historical focus on upselling to our legacy database clients has not captured its fair share of broader industry growth. We believe we are doing things to return this business to a position of continued growth in future years and we continue to make good progress against the initiatives Rick Erwin and his team launched at the beginning of this year. As a reminder, these initiatives included, one building out a very skilled specialist data sales team to supplement our generalist marketing services sales force. Two, expanding distribution to capture demand from areas of the market where we hadn’t previously focused, and three, tightening our procurement and delivery approach to drive operational efficiencies. Let me update you on our progress. During the last quarter, we completed the staffing of our specialist data sales force and while we are still in the process of onboarding and training these individuals, we are already beginning to see signs of this investment is paying off. We added dozens of new customers during the quarter, and closed over $10 million in new bookings. And while we continue to expect headwinds in the second half of the year, I am encouraged by this early progress. We continue to expand distribution to digital channels and added 10 new data services partners in Q2. Our data is now available at more than 50 online and mobile publishers, television operators and ad tech platforms. We also expanded several existing relationships during the quarter and are working with major publishers like Yahoo and Twitter and major mobile advertising companies like 4INFO to build out new and exciting capabilities. Last month, we introduced and patented AbiliTec Household Link, the newest addition to our industry-leading suite of recognition products. Household Link provides clients the ability to identify consumers living together at the same location for both traditional and non-traditional definitions of a household. We launched this product in beta [ph] in early July with five clients from varying industries participating. Today Household Link has achieved mass rates in the mid 98 percentile. And we are continuously making tweaks to improve the performance. And finally, on the cost side, our data procurement and optimization initiatives remain on track. To date, we have completed more than half of these initiatives in our stream results in line with our expectations. For example, manual compilation operations, that required dozens of resources and months to complete are now being serviced by partners to deliver us 20% more data at less than half the cost on a weekly basis. Now, let me talk about marketing services. I spend a lot of time on these calls talking about big wins and connectivity or new data services partnerships. But perhaps the biggest highlight from the quarter is the continued momentum our marketing services team is experiencing with our largest financial services clients. In the last year, we closed multiyear renewals with three of our largest financial services clients, including a landmark contract extension signed in Q2, with a leading credit card issuer. The multiyear renewal, which extends our long-standing relationship is an indication of the importance of what Acxiom does for our clients and offers an emphatic vote of confidence in the value we are providing. As importantly, it is another great example of how we are increasingly solving new and different used cases for our clients. For each of the renewals mentioned, in addition to extending our existing relationship, we are helping these clients expand their digital marketing capabilities, activate their offline assets online and more effectively measure campaign performance across all touch points. Marketing services signed several other key deals during the question as well, including a new, next-gen marketing database contract with a leading marketplace-lending platform. This is another good example of our commitment to innovation within our marketing services business. We talked last year about developing a cloud-based database solution, to meet an emerging demand in the marketplace for more nimble less expensive and easier to use database technologies. This client’s requests lined-up perfectly with that vision, as have a number of others over the last few quarters. In coming quarters, we will talk about several additional product innovations in the pipeline, aimed at providing our customers with more flexibility and more choice. In summary, our audience solutions and marketing services businesses accomplished a lot in Q2 and I’m encouraged by the headway being made. On a trailing 12 month basis, total new bookings for marketing services and audience solutions were flat over the comparable period. However, this number does not capture renewable bookings and Q2 was the largest renewal quarter in Acxiom’s history. That said we must now ensure that this small taste of success fuels a hunger for even stronger future performance. There is still a lot of work to be done over the next several quarters to position these businesses for growth in FY 2017 and beyond, but with continued focus and sound execution, we are making progress. Let me conclude by thanking you all for joining today and for your continued support in our journey. Given the progress we are making, I’m increasingly optimistic about our future and look forward to updating you on our continued progress in coming quarters. I will now turn the call over to Warren.
Warren Jenson: Great, thanks Scott, and good afternoon everyone. In my portion of the call, today, I'd like to first run through the quarter, then talk about each of our segments, and finally provide an update to our guidance for fiscal 2016. A few highlights from the quarter. Total company revenue as reported was up 2%, and revenue adjusted for items also increased by 2%. Excluding negative $3 million FX impact total revenue was up 3%. In the U.S., total revenue increased 6%. Just as a reminder, last quarter, normalized revenue in the U.S. was also up 5%. Adjusted EBITDA improved 23% year-over-year and has been up each of the last six quarters. New customers in the past year we have added more than 180 new customers at LiveRamp. In the second quarter alone, we added 40. We have also added dozens of new customers as a result of our expanded sales efforts in audience solutions. We believe these new relationships represent a meaningful long-term growth opportunity. Connectivity had another strong quarter. Revenue was approximately 65%, and we exited the quarter with the revenue run rate of roughly $90 million. Connectivity gross margin improved 62%, up significantly from 19% a year ago and operating income was nearly breakeven, again this quarter. In addition, we successfully launched Customer Link, the newest product in the LiveRamp suite of connectivity services. In the U.S., marketing services and audience solutions revenue was up roughly 2%. And finally, during the quarter, we repurchased $12 million of stock. Since inception of our repurchase program, we have acquired 14.3 million shares for a total consideration of $230 million. Now, let me discuss our second quarter results in more detail. Starting with Slide 6, our summary financial results. First, our GAAP results. Total revenue was up approximately 2%. Gross profit was $86 million, up 6%, and gross margins improved 160 basis points to 41.5%. OpEx for the quarter was $88 million, roughly flat compared to the prior year. GAAP loss per share was $0.02 in the quarter compared to a loss of $0.09 a year ago. Included in the current quarter’s EPS is the $0.02 tax benefit. Absence that benefit, we would have recorded a loss of $0.04. Next our adjusted results. Adjusted revenue was also up 2%. Adjusted gross profit was $90 million as compared to $86 million and our gross margin improved from 41.9% to 43.5%. This improvement was driven by our growth in connectivity and the benefits of our combination with LiveRamp. Excluding items, operating income was $18 million, up 30% year-over-year and earnings per share were $0.14 as compared $0.10 a year ago. The $0.02 tax benefit is also included in our adjusted results. Excluded items in the quarter totaled $21 million including stock-based comp of $7 million, intangible asset amortization of $4 million, separation and transformation related third-party expenses of roughly $6 million and lastly restructuring charges of just over $3 million. Please note that intangible asset amortization is included in cost of revenue and separation and transformation related expenses are included in G&A. Slide 7 highlights our revenue results as reported, and Slide 8 adjusts for our EU restructuring. In the U.S., total revenue was $189 million, up 6% primarily driven by connectivity. As I mentioned, U.S. marketing services and audience solutions revenue was up 2% year-over-year. Internationally, our results were impacted by several things. Of the $8 million decline, roughly half was due to FX and are exiting the EU paper survey business. The remaining $4 million decline was split between Europe and APAC. In Europe, revenues were down as expected given the termination of two client engagements last year. In APAC, revenues were down principally as a result of economic softness in China. In addition, we made the decision this quarter to close our business in Brazil. We expect to complete this transition by the end of our fiscal year. Now turning to Slide 9, our non-GAAP results. First marketing services and audience solutions. Revenue as reported was down 3% year-over-year, and revenue excluding items was down 2%. Growth in the U.S. was more than offset by declines internationally. Adjusted gross margin decreased to 41.3%, driven almost entirely by revenue declines in Europe and APAC. Adjusted operating income decreased $11 million and margins declined to 23.1%, again this decline was largely driven by international and to a lesser extent ongoing R&D and sales and marketing investments in the U.S. Next on the Slide 10 through 12. As we did last quarter, we have included a preliminary cut of revenue for each business, and we have also broken out U.S. from international. A couple of things to note. You will see this is the second sequential quarter of growth in our U.S. marketing service business. And while audience solutions remains pressured, we again feel the right actions are underway. And over time, these actions will return this business to grow, particularly in the U.S. As a reminder, we have not finalized the separation of marketing services in audience solutions. These numbers are preliminary, and there could be adjustments between the two businesses when our reporting is finalized. Slide 13, connectivity. As mentioned earlier, connectivity had another strong quarter. Revenue was up 65% and adjusted gross margin increased from 19% to approximately 62%. Finally, operating loss improved by $11 million to a slight loss of $700,000 in the quarter. Slide 14, for the quarter, operating cash flow was $21 million, up nearly 50% from $14 million in the prior period. The improvement was largely driven by earnings. Free cash flow to equity improved for the same reason in addition to lower capital spending. CapEx for the quarter was $14 million as compared to $21 million in the prior year. Cap software was roughly $4 million, down from $6 million in Q2 of last year. Before jumping into guidance, I’d like to give you an update on our ongoing effort to address the $18 million ITO cost overhang. Last quarter, we indicated that we had identified $20 million of cost actions. We have now identified more than $25 million of opportunity. And to date, we have taken action to realize approximately $20 million of the total. Now on the guidance, first, our guidance excludes unusual items, including stock-based compensation, one-time expenditures and acquired intangible asset amortization. Next, while we are pleased with our year-to-date performance in the U.S. we think it is prudent to remain cautious given the weakness we are experiencing internationally. So for the year, we continue to expect revenue to increase by 2% to 5% versus our adjusted baseline of $800 million and non-GAAP EPS to be between $0.40 and $0.50. While we don’t intend to give specific quarterly guidance, we do believe consensus estimates for revenue in the fourth quarter are too high. We now expect a negative FX impact of approximately $7 million for the year. We continue to expect CapEx to be approximately $70 million, down from $77 million in FY 2015, one-time expenditures to be between $15 million and $20 million. This estimate does not include any potential restructuring charges. Please note, that we expect a bulk of these one-time projects to be completed by our fiscal year-end. As a result, we are confident that one-time expenditures will be down considerably in FY 2017. Next, given the separation of ITO, we continue to expect our tax rate for the year to be roughly 40%. And finally beginning next quarter, we are on track to report in three segments. In summary, our priorities are clear. Double down on connectivity, stabilizing return both marketing services and Audience Solutions to grow and return capital to our shareholders. With that thank you again for joining us today. We look forward to updating you in the quarters ahead. Operator we will now open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Bill Warmington with Wells Fargo. Your line is now open.
Bill Warmington: Good evening, everyone.
Scott Howe: Hi, Bill.
Warren Jenson: Hi, Bill.
Bill Warmington: And congratulations on the strong quarter.
Warren Jenson: Great, thank you.
Bill Warmington: So, I wanted to ask about the LiveRamp, Customer Link launch, you mentioned, 15 customers. Can talk a little bit about when you think that’s going to start to become revenue contribution out of the 15 that you have signed up, how many of them are actually past paid and actually paying? And then in terms of our expectations for when that is going to start to contribute to results.
Warren Jenson: Yes, so I’ll answer the first one – the second question first Bill. So of the clients and beta they’re all paying, I believe that’s true. And law of small numbers…
Bill Warmington: Okay.
Warren Jenson: So I would say that it’s not going to be material revenue this year. However, it starts to become more significant next year as we grow off at base 15 and continue to scale. We believe that anyone who is using LiveRamp for onboarding, ultimately should be using LiveRamp for Customer Link, as well.
Bill Warmington: Yes.
Warren Jenson: So we think that number of 15 has a chance to scale as more customer see the results here about what’s possible and have some successes with the products.
Scott Howe: Bill, I could add one thing to that. While we don’t intend to give product level guidance, I will tell you that our forecast for the ARR coming from this product is meaningful at our fiscal year-end.
Bill Warmington: Got it. The gross media spend was pretty strong in this quarter, as well. I just want to ask what was helping to drive that, whether there was seasonal elements, whether we should use that as a base for modeling going forward?
Scott Howe: I’d be happy to take that. A couple of things that I would say we’re very strong, one in particular, our data business continue to be very strong across the Board. So roughly, two thirds of the revenue was generated through data, one third of it generated via first-party data. I think this just continues to demonstrate what is a very meaningful trend, and that is campaigns are just made better with data. And we are in age, in the beginning of really data-driven marketing and this is – is great evidence. As Scott, was giving his presentation today, for those of you who were with us 18 months ago or two years ago, when we started, remember this is zero. And I think we had all sat here and forecast that number to be close to $300 million at this point in time, we feel very, very good about our progress.
Bill Warmington: And how large was specialist data sales force now? You mentioned that you’ve been adding to it, I just was curious how many [indiscernible] gone from to…
Scott Howe: So quite a big jump, quarter-to-quarter as of Q1 and Q2. So we went from essentially 87 clients facing sales reps in Audience Solutions in Q1, to a 117 in Q2. And why this is important is, you will recall that in past conversations I’ve talked about earning our fair share of the industry growth beyond just our large marketing services, marketing database clients. All of those sales reps will be focused on helping achieve that, and so we are calling on clients and partners that historically haven’t heard from Acxiom, and that’s why you can already see that in the bookings that they generated in the quarter.
Warren Jenson: I’m feeling pretty good about what Rick and his team have done in the short period of time there.
Bill Warmington: Thank you very much.
Scott Howe: All right, thank you Bill.
Operator: Thank you. Our next question comes from the line of Todd Van Fleet with First Analysis. Your line is now open.
Todd Van Fleet: Hi guys,
Warren Jenson: Hi, Todd.
Todd Van Fleet: Hi, I just want to circle back to what you said on Customer Link. So are we to understand that their, I’m not sure, you are very careful with your words. I’m just trying to make sure I understand what you said. Are we infer that included in guidance for this year, revenue guidance is a meaningful level of Customer Link revenue embedded in it?
Warren Jenson: So there certainly is revenue embedded in our guidance Todd. As you know, we had planned this launch and it was built into our planning. The second thing, as you all know, in the SaaS business, is revenue that builds later in the year has a lesser impact, just because you only have X number of months of subscriptions. So the impact from strong bookings is typically manifest in the next 12 months hence we give the measure of ARR. So the point I was trying to make relative to what Scott had said was just to reinforce that when we are forecasting our business for the remainder of this year and into FY 2017, we anticipate that our ARR us coming as a result, the Customer Link will be meaningful.
Todd Van Fleet: Okay, and…
Scott Howe: You’ll then see in FY 2017 revenue.
Todd Van Fleet: Right, right, so I’m just – so in the middle, I think, you guys officially launched in the middle of September, is that right, Customer Link?
Scott Howe: Yes, that’s correct.
Todd Van Fleet: And so, with the 15 clients were they all in beta at that point or can you give us an idea as to may be how much took off, since the launch? Where were you at five at the launch and then now at 15 or just to give us a sense as to how quickly things are escalating?
Scott Howe: Yes, I don’t know, if it was five, but it was definitely kind of mid single-digits. And so, we have accelerated that and, it’s a good story, the clients you see it, get excited about it. So we’ve accelerated and we will expect that trend to continue again, we believe everybody, it was a LiveRamp client in order to using Customer Link in addition to onboarding.
Todd Van Fleet: Yes, and as your customer teams are out there kind of working with the clients, is there do you guys feel like you have a reasonable sense from start date to kind of full throttle maturity on a client, what the timeframe is, is that a three month period, is that a six month period before you feel like you really got the kind of Customer Link engine and humming within the particular client?
Scott Howe: Yes, it’s probably more on the shorter end of what you just talked about, and then there is certainly a learning curve with clients and we’ve seen that with onboarding as a whole, typically someone starts with one use case then expands over time and so, I would except that there is going to be a similar learning curve for clients here. But remember, we by and enlarge use the same pipes that we’ve laid for our Customer Link. So there’s not a whole lot of additional infrastructure that’s required to campaign setup, that’s required on our site to get a client launched.
Todd Van Fleet: Right, okay, and then just one more and I’ll jump back in, on marketing services, Scott you talked about there being a nice win for the company in the quarter, you talked about kind of a next-gen platform, I’m curious more of a cloud-based platform, I’m curious if, have you guys seen any kind of old-gen customers migrate to new-gen platform at this point and if so, what is that migration kind of timeframe look like in and what is the kind of revenue impact – if there is one to kind of build an observation from at this stage?
Scott Howe: Yes, so the answer is it depends. That there are certain industries that are going to be faster to embrace the cloud than others, so for example in the financial services space, given the security requirements and industry regulation, it’s really important for them to know that their data is hosted in a physical location, there is layers of security wrapped around their servers. In other industries mid-tier retail publishing, there is more of an emphasis on flexibility and a willingness to try new things. And so, we have had at least one that I can think off of, just the top of my head, in long time media published or who is migrating to a cloud based deployment and they were one of the first and they really embraced the thinking, I mean validated a lot of what we are doing there. I suspect there will be others, but I think it’s in some respects got to be an interesting innovation for us to compete and sectors where we haven’t – historically been strong. So again mid-tier retail in particular, travel, Poly Telecom, and some others so, pretty exciting for new clients.
Warren Jenson: Hi, Todd, I would add to that, it’s really interesting because our approach is to really enable the industry and for some – one solution is going to be better than another. And that’s say okay. So some we’re going to – want a dedicated infrastructure, others will prefer virtualized and migrating currently a lot of customers as part of our next-generation infrastructure project to virtualized environment and yet others will want to use the cloud and that’s great. We’re all for it and will continue to help and enable them anyway we can.
Todd Van Fleet: Great. Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brett Huff with Stephens. Your line is open.
Brett Huff: Good afternoon, guys.
Warren Jenson: Hi, Brett.
Brett Huff: Quick question on bookings. Scott, you mentioned that they were flat kind of TTM in the marketing services and Audience Solutions business, and it looks like that maybe partly an international issue of revenue has anything to do with it. But regardless, could you unpack that for us and sort of give us a sense and again, just referring to I think at the end of last fiscal year,, you guys were kind of 6%, 7% and had a couple of big quarters. What sort of what tailed off this quarter?
Scott Howe: Yes. I think given the size of what we’re talking about, it’s hard to continue to post every quarter is not going to be up year-over-year, you have some big wins and then you have some quarters where you didn’t bring the big win in. So what I would like to see that number the higher part and this is an important part, there is a whole bunch of other stuff going along – alongside this, and importantly what’s shouldn’t be loss as this was our best ever renewal quarter, we had the significant number of wins in connectivity, which we view as potential leads for upselling to marketing services and data. And we have a lot of innovation going along – coming along, including in marketing services which is helping us win some new logos, albeit at smaller price point. So all is that, I feel really optimistic about the future, and would love to see us have a stronger new logo quarter, next quarter but feel really good about to say the business overall, and are well-positioned.
Brett Huff: Great and just one follow-up, can you talk a little bit about international, I think Warren you specifically called out, feeling a lot better about U.S. legacy but still feeling, seeing some difficulties in international, looks like particularly in Audience Solutions, could you give us more detail on that?
Warren Jenson: I’d be happy to, I’m going to divide Brett my comments to talk about Europe and then talk about China. In Europe, there are several things going on which are sort of a confluence of events, obviously we like everybody else that has international businesses being impacted by FX. The second thing is that’s magnified by the fact we exited the paper service business, – paper service business. And then the third thing is, we mentioned earlier and I did again today is, we add a couple of clients where our services ended at the end of last year, and we have to make up for. If you take all of that stuff into account, year-over-year international was – Europe was basically flat, they were down roughly $400,000, so not a material amount. So I think, it’s necessary to peel back a little bit those results. And in Asia-Pac and in particular in China, we’re just seeing economic softness and being impacted by the economic softness in the China market. We do a fair amount of campaign assistance and our clients are reducing their campaigns just given what’s going on in that economy.
Brett Huff: Okay, that’s what I need. Thanks and congrats on a nice quarter.
Warren Jenson: Thank you.
Operator: Thank you. I’m showing no further questions at this time. I do apologize, looks like we have a follow-up question from the line of Todd Van Fleet with First Analysis. Your line is open.
Todd Van Fleet: Hi guys this one is my last.
Warren Jenson: Hey, Todd.
Todd Van Fleet: So, sales and marketing expenses keeping up obviously most of that – most of that, I'm assuming is related to what’s going on in Audience Solution, but the other elements, within connectivity perhaps are impacting that?
Warren Jenson: There are really two elements and I’m looking at the marketing services and Audience Solutions, P&L Todd, one is that we have renewed investment in R&D in these businesses, which is impacting both marketing services and Audience Solutions. And then the second thing as it relates to sales investment that’s exactly what you referred to and what we’ve talked about and that’s really reemergence of our dedicated selling force in Audience Solutions.
Scott Howe: But in connectivity, to your question, yes we continue to build our sales force there. We added, I will call it, roughly 15 people to that team over the quarter as well.
Todd Van Fleet: Okay. And at this point, we should assume that the audience solutions sales folks are not going to be kind of cross-selling connectivity, are you just going to have dedicated folks to one of the other.
Scott Howe: Yes, that’s right. Now there is a lot of cross referrals that should be generated the fact that we’re laying pipes leads people to want to pour data through them. And when you have data to sell, it makes people more interested in laying pipes and connecting that data to publishers and other used cases. So the two sales organizations are fairly fluid and what one and another is doing. But data expertise is very different than the technical expertise needed for connectivity.
Todd Van Fleet: Okay. And then in terms of the audience solutions revenue, I imagine it’s probably a short cycle to kind of get things relied on that front and you’d said I think were 87 reps in the June quarter, 117 September quarter. I don’t know if you remember explicitly how many were in the March quarter, but it seems like you’ll probably getting it may be capacity there and I was just curious how quickly has got in your mind, should we see kind of an impact there an acceleration or reacceleration I guess in that revenue stream.
Scott Howe: I think we’re already seeing some of it with $10 million in new bookings that they’ve already won. This is going to be a shorter lead time sale then say our marketing services database, which might have a two year consideration set attached to it. So, it should be near-term. That said, they got to go do it now. And I don’t think, we’ll see any impact from these guys really materially for another quarter or until FY 2017.
Todd Van Fleet: Okay. And then the risk internationally, I guess, Warren, that revenue risk, so what’s going on the internationally, is that show up in audience solutions or marketing services?
Warren Jenson: Is shows up in really both, but primarily in audience solutions.
Todd Van Fleet: Okay, all right guys. Thanks.
Warren Jenson: Great, thank you.
Scott Howe: Thanks, Todd.
Operator: Thank you. And we have a follow-up question from the line of Bill Warmington with Wells Fargo. Your line is open.
Bill Warmington: Guys, I’m back for one more. I just wanted to ask about the improvement in the gross margin, particularly strong in connectivity and then for the Company overall, what was driving that?
Scott Howe: Bill, I think you nailed it. Really, if you look at the gross margin, it was very, very strong in connectivity, I mean anytime you go from 19% to 62% that’s quite an improvement that we’re pretty much – pretty pleased with. So we feel very, very good about that. To a lesser extent margin improvement came out of the U.S. and then obviously we were very negatively impacted by international in both marketing services and audience solutions.
Bill Warmington: Okay. But what happened within – is it just the sheer revenue growth that’s driving the efficiencies there or something else going on within connectivity?
Scott Howe: I’d prefer back to something that that I mentioned, I guess, in our last conference call is this acquisition is exactly what you want to have when you draw up the pro forma. And that is on the revenue side one plus one equals more than two, and on the cost side, one plus one equals less than two. And again, if you and I were sitting doing a deal and we could write up the exact script we want that’s exactly what we want to write. And so, in gross margin like in OpEx, we have cost benefits. We also have certain costs that may take step function increases over time as you get bigger and you see more opportunity to capitalize on things in gross profit, but we have other expenses in gross profit that have scaled quite nicely. and that’s what is produced the improvements in gross margin. On this front and for connectivity, I’d reiterate something that we said at the last call, if we see opportunities to make a step function improvement in our capabilities, we will take that. We are not in harvest mode here. We are in investment mode and we want to do everything that we can to take advantage of the opportunities that are in front of us. So I would be conservative in your expectations for gross margin going forward and for operating income, we certainly don’t want to under invest in what is proving to be a pretty significant opportunity and one where it seems almost with everyday our TAM increases.
Bill Warmington: Thank you very much.
Scott Howe: Thank you, Bill.
Operator: Thank you. I’m showing no further questions at this time. I would like to turn the call back to Warren Jenson for closing remarks.
Warren Jenson: Wonderful. Thank you all again for joining us today. It’s our pleasure to be here. We know what we’re focused on. We’re relentless in those pursuits and we look forward to updating you on our progress as we move forward. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.